Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Precision Drilling Corporation 2019 Fourth Quarter and End of the Year Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question and answer session. [Operator Instructions] Please be advised that Today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker for today, Dustin Honing, you may begin.
Dustin Honing: Thank you, Towanda, and good afternoon, everyone. Welcome to Precision Drilling's fourth quarter and year end 2019 earnings conference call and webcast. Participating today on the call with me are Kevin Neveu, President and Chief Executive Officer; and Carey Ford, Senior Vice President and Chief Financial Officer. For a news release earlier today, Precision reported its fourth quarter and year end 2019 results. Please note these financial figures are in Canadian dollars unless otherwise indicated. Some of our comments today will refer to non-IFRS financial measures, such as EBITDA and operating earnings. Please see our news release for additional disclosure on these financial measures. Our comments today will include forward-looking statements regarding Precision's future results and prospects. We caution you that these forward-looking statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from our expectations. Please see our news release and other regulatory filings for more information on forward-looking statements and these risk factors. Carey will begin today's call by discussing our fourth quarter and year-end financial results, followed by Kevin's operational update and outlook. With that, I'll turn it over to you Carey.
Carey Ford: Thank you, Dustin. Precision, once again fulfilled its financial strategic priorities in 2019, retiring $205 million of debt during the year and leveraging our high performance high value strategy and scale along with disciplined cost management to generate strong cash flow. We are pleased with our 2019 performance and plan to continue the momentum into 2020 with debt reduction targets of $100 million to $150 million for the year. In addition, we are providing another year of debt reduction guidance, and raising our long-term target to $700 million of debt reduction between 2018 and 2022. I will now review some of the fourth quarter and year-end financial details. Our 2019 fourth quarter adjusted EBITDA of $105 million decreased 22% over the fourth quarter of 2018. The decrease in adjusted EBITDA primarily results from reduced U.S. and Canadians drilling activity and higher share based compensation expense during the current quarter and transaction related income received in the prior period offset by reduced operating and fixed costs in the current quarter. In the U.S., drilling activity for Precision averaged 63 rigs, a decrease of 9 rigs from Q3. Daily operating margins in the quarter were $9,876, an increase of $1,271 from Q3. Q4 margins were positively impacted by turnkey and IBC revenue, and certain reversals of prior period provisions during the quarter. Absent these effects, daily operating margins would have been approximately $8,500 or $100 per day lower than Q3. For Q1, we expect margins to be in the range of $8,700 to $9,000 per day, with IBC revenue more than offsetting lower fixed costs absorption. Turning to Canada. Drilling activity for Precision averaged 43 rigs, a decrease of 7 rigs from Q4 2018. Daily operating margins in the quarter were $7,391, a decrease of $296 from Q4 2018. Absent shortfall payments received in the prior year and certain non-recurring cost recoveries in the current quarter, daily operating margins would have been down approximately $400 from the prior year. For Q1, we expect normalized margins to be down slightly due to rig mix compared to Q1 2019. Internationally drilling activity for Precision in the current quarter increased to 11% from Q4 2018. International average day rates were $52,283, up $301 per day from the prior year. Turning to our C&P segment. Adjusted EBITDA this quarter was $6.3 million, down approximately $700,000 compared to the prior quarter. For the year, our C&P segment generated EBITDA of $24.1 million, an increase $9.3 million or 62% from 2018. The improved financial performance is a result of continued business improvement initiatives, including cost savings, and stronger pricing. At year-end, we recognized a pre-tax charge of $20 million relating to the decommissioning of the 22 rigs we had held for sale and 7 additional rigs that do not meet our high performance standards. We expect to utilize certain components from these rigs in our operations, and we'll continue to evaluate equipment sale opportunities, but we'll not recognize the current value on our books. For the full year 2019, EBITDA was $392 million, funds from operations were $293 million and earnings per share were positive at $0.02. Capital expenditures for the quarter were $22 million and $161 million for the year. In 2019, the Precision team has demonstrated our ability to maintain capital discipline, and moderate capital spending with industry activity while funding only the most attractive capital investment opportunities. We expect to continue our strict discipline in 2020, where our capital plan is $95 million. The 2020 capital plan is comprised of $58 million for sustaining and infrastructure and $37 million for upgrade and expansion, including expanding our AlphaAutomation platform by 24 systems. As a reminder, the 2020 capital plan contains approximately $25 million in sustaining and infrastructure capital, for certifications that historically have been expensed prior to Q4 2019. The impact of this accounting change in Q4 2019 was $2 million for all of Precision’s operations. We continue to make progress in our contract book. And as of February 12, we had an average of 54 contracts in hand for the first quarter and average of 41 contracts for the full year 2020, and 12 contracts for the full year of 2021. As of December 31, 2019, our long-term debt position net of cash is approximately $1.35 billion, and our total liquidity position was over $700 million. Our net debt to trailing 12-month EBITDA ratio is approximately 3.5 times. Our average cost of debt is 6.8%, and debt repayment remains our top financial priority. And we consider our debt repayment objectives before making any growth capital investments or share repurchases. In the third quarter of 2019, we implemented Normal Course Issuer Bid. And as of February 12, 2020, we had to repurchase approximately 18.7 million shares for $29.2 million, representing 6.4% of our outstanding shares. For 2020, we expect deprecation to be approximately $320 million. We expect SG&A to be approximately $90 million before share base compensation expense. This guidance compares to the 2019 guidance provided this time last year of $110 million prior to share base compensation expense, with the reduction reflecting aggressive management of all fixed costs to enhance financial performance. We expect cash interest for 2020 to be $100 million, which compares to $140 million in 2016, before we started our debt reduction efforts. We expect cash taxes to remain low and our effective tax rate to be in the 20% to 25% range. With that, I will now turn the call over to Kevin.
Kevin Neveu: Thank you, Carey, and good afternoon. As Carey mentioned, we are pleased with Precision's fourth quarter and full year 2019 financial and operational results. I believe the Precision team performed exceptionally well in 2019, controlling every variable within our control to delivering on our strategic elements. I'll start today by discussing our 2020 priorities. Concerning our 2020 strategic priorities, we continue to believe to leveraging our scale to maximize free cash flow and prioritizing our free cash flow to play down debt, remains the best path create shareholder value. Secondly, by also prioritizing operational excellence, we are tightening our focus to deliver operational excellence to our customers, our community and our shareholders. We are measuring and will be reporting on several key metrics regarding operational execution, environmental impact, social impact, corporate governance. We believe these priority -- this priority aligns with our high performance, high value competitive strategy. And finally, continuing to enhance our technology lead with the Alpha technology platform is line to our customers’ urgent need to lower overall costs. We see this as a clear path to increase market share, deliver revenue and margin growth, especially as your capital discipline. The Precision team has a multi-year track record of meeting or exceeding our strategic commitments. And we expect – we’ll continue on this path in 2020. The priorities are detailed in our press release, and as in prior years, we’ll provide quarterly updates on our progress. We’ve also seen that these priorities are captured in performance metrics and management short-term and long-term instead of competition launch. Now turning to our business update, I'll begin with our Canadian Drilling segment. As Carey mentioned during the fourth quarter, we experienced early indications of strengthening customer demand. That momentum has continued into this year. Today we are running 80 rigs versus 55 this time last year. We expect Precision’s Canadian rig activity will remain in the mid-70s through the end of February, and if the seasonal spring breakup slowdown will be weather driven, rather than a function of budget exhaustive. For Precision, the increased demand is occurring in two sectors. The natural gas liquids plays of the Montney and Duvernay shales, and the heavy oil sector, including SAGD, conventional heavy oil and oil sands stratification wells. So first, in the Montney and Duvernay plays, their transition to full development drilling has led to increased customer demand for pad-walking Super Triple rigs, and particularly those equipped with AlphaAutomation systems as our customers strive to drill the lowest cost, most efficient wells. Pricing on these rigs is becoming more constructive and will continue to improve. As 25 plus industry super-spec rigs have been relocated to United States recently, substantially tightening the super-spec rig supply. This, coupled with recent industry consolidation has led to improved pricing discipline among the remaining drillers. We believe this segment of our drilling business is a unique bright spot where customers benefit using super-spec rigs, enough automation to reduce well costs, while we generate solid financial returns. The modest recovery in heavy oil was long overdue aligns very well Precision’s well regarded fleet of ultrahigh efficiency Super Single rigs. After several years of essentially curtailed heavy oil activity, particularly stratifications drilling, this is welcome rebound for Precision. I believe our strong market share in this segment is results of the proven performance of Precision's Super Single rigs and Precision's ability to crew up these rigs after several years of minimal industry activity. Overall, with a 40% increase in rig reactivity year-over-year, Precision has added 450 new field personnel since mid-2019. We firmly believe if the market opportunities arise, we must be well prepared to respond immediately. Our drilling assets are well maintained with up-to-date certifications, and those rigs reactivate with minimal startup costs and overlays. Our field leadership is strong and capable of responding to demands of growth. And most importantly, our management systems and organization is up to the challenge of recruiting, trading and fully crewing up these additional rigs. I believe Precision’s ability to respond on pace with the demand growth is a very good demonstration of the operational excellence Precision delivers as a primary driver of the market share gains in Canada. Looking forward in Canada, we do not believe the strong start to simply front loading of the drilling budgets. In discussions with our customers for Q2 for the second half of 2020, our expectation is for generally flat activity when compared to 2019. There will be some puts and takes, dry gas directed drilling may slow while Montney and Duvernay demand should remain firm and provides some upside for Precision. We also expect heavy oil activity should be stronger for the balance of the year compared to last year. The Canadian industry remains highly sensitive to energy macro. Commodity prices both eco gas and oil differentials largely influenced customers spending. The recent appeals court decision supporting the Trans Mountain Pipeline project and the recent positive developments of the KXL-93 projects bodes well for the longer-term fundamentals in Canada. Interestingly, the overall customer tone is improving. In fact, we have several customers now discussing 2021 drilling plans. This is the first time in several years we have called any long-term rig operations planning with our customers. I think this is a function of modestly improving customer sentiment, and also those customers building more confidence in their own capability to operate in this type environment. Capital discipline has become the norm where our customers have adjusted quite well. Turning to the U.S. We believe customer demand bottomed in the fourth quarter of 2019. And while we were expecting to see a modest demand improvement following 2020 budget low reloads, it seems short-term commodity price volatility is telling those decisions. With global commodity prices remaining highly sensitive to macroeconomic risks, our customers are quick to adjust anytime within those risks. The most recent macro event is of course the coronavirus and its impact on oil and gas demand. While our biggest concern is for the health and welfare of those affected by the serious virus, we believe the impact on commodity volatility has been impactful. It will not be surprised if new drilling projects are delayed by a few weeks or months as capital discipline is prevailing theme across our U.S. customer base and our customers are acting accordingly. In our press release, we mentioned three rigs in the Marcellus, which were unexpectedly idled. We'll endeavor to redeploy these rigs, these rigs as soon as possible. But in the interim, we will earn full IDC revenue that these rings are contracted through the full year. In other U.S. basins we are seeing pricing and demand remaining consistent with our prior guidance during only by rig size. Contract renewals for ST-1500s remain low to mid-20s, and for ST-1200, the renewals on the high-teens to low-20s in line with what we reported on our Q3 earnings call last October. This relatively firm pricing supported during re-contracted negotiations by the proven performance of the current rig coupled with the switching costs and operational risks with the oil and gas company associated should they choose to change rigs mid program. The rare spot market rig deployment opportunities that we see may price $1,000 or $2,000 lower than renewal rates as switching costs has been a factor. However, the consistency and efficiency achieved utilizing AlphaAutomation is a strong competitive advantage for Precision. AlphaAutomation enables operators to walk in the best and most efficient building practices, reduce risk and drilling time and cost. We have strong operator interest and demonstrated our value within the EMP operations, drilling departments. Meanwhile, we have persistence and sometimes intense procurement efforts to commoditize our services and this never seems to abate. But as we've seen with higher technology transitions and now AlphaAutomation, the first movers who successfully demonstrate real value win this battle, regain the revenue and win the market share. And while I'm the topic of procurement groups, the re-emergence performance base in commodity-linked pricing models have been proposed by some operators. We remain cautious regarding these pricing models as it also generally adjusts the operator risk allocation, and this complicates our economic model. In any event, we are exploring these pricing models to ensure we don't pass over legal opportunities. Turning to our international business, we see generally steady activity. Precision rig 906, the newly built rig we delivered in mid-2019 continued to perform very well, delivering good returns for Precision, fully leveraging our scale in Kuwait. Precision 903 also in Kuwait was idled at the end of 2019. This is an ultra-deep workover rig, which will bring this plan recover projects well ahead of schedule. We expect this rig will be reactivated by mid-year. In Kuwait, our primary focus is on extending or re-contracting the two drilling rigs up for renewal late this year. Last year, we were encouraged by strong bidding activity for idle rigs in Kurdistan and Saudi Arabia. The tenders in Saudi remain active, and they lead to contract towards later this year. However, the increased tensions in Iraq have indefinitely delayed the projects we were bidding. We were being highly focused on funding opportunities in the broader region to reactivate these idle rigs as soon as possible. Turning to our Alpha technologies. To clarify our current market penetration, at the end of 2019, 34 rigs were fully commissioned and equipped to AlphaAutomation, including two rigs upgraded in the last two weeks of 2019. Additionally, our training rigs in Houston and Nisku are similarly equipped where we test the systems and test our new apps before deploying for field. In 2020, we plan to add an additional 24 systems. We will finish the year with 58 AlphaAutomation equipped AC Super Triples, roughly half of our Super Triple fleet. We will also train approximately 100 more drillings and rig managers to be AlphaAutomation subject matter experts. And we remain highly confident to deliver market share, revenue and margin growth for Precision, even in this capital constrained environment. Also in 2020, we find a fully commercial, at least 15 more Alpha apps, up from the 13 we have today and we plan to commercialize our Alpha analytics service. We'll have more updates on this as the year progresses. Finally, turning to our Canadian completion and productions business. We're very pleased with the progress the team made restoring the segment to a strong free cash flow position in 2019. Looking into 2020, some of you probably know, certainly those of you in Calgary, it was unusually cold in Western Canada, and this delayed the World Service season will rebound. And this is also a business that's very sensitive to short-term commodity price volatility, and has proven a drag on customer demand. However, we're confident that the progress we achieved on cost is sustainable. We also believe the improved customer mix and the charge-off rates the team achieved last year will sustain this year. Our expectation for 2020 is for activity and free cash flow largely in line with last year's contribution. So I'd like to wrap up today by thanking the employees of Precision for the dedication, their hard work and the strong results they achieved in 2019. And I'll now turn the call back to the operator for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Kurt Hallead with RBC Capital. Your line is open.
Kurt Hallead: Congrats on the continued cash flow and debt reduction. I know it's been an arduous task in a tough market, so kudos to saying on plan. A question I had for you in context with respect to the automation, right. You mentioned you had 34 rigs outfitted exiting 2019, you're going to add another 24 systems through the year. So when you talk about on being outfitted on, are those rigs also getting paid for the automation? Or can you give us some general sense as to how many of those rigs you expect to actually get paid for that technology?
Kevin Neveu: Yeah, Kurt, when we declared commercialization back in December, that was when we crossed the point where all systems were being paid. There may be some -- a little question if we have a rigs does not operating right now, and I would comment that not all of the rigs are operating. In fact, we mentioned the three in the Marcellus that were at least temporarily laid down. But the systems we have in the field right now that are out of rigs running and operating are being paid for.
Kurt Hallead: Okay. And then in the context of the evolution is happening with kind of unconventional contracting -- unconventional contracts related to performance based dynamics. Can you give us some update on how you're thinking about that? I think, in the past, you've indicated, maybe potentially generating anywhere from like $250 a day, up to maybe a couple $1,000 a day depending on how the rig was outfitted in the technology deployed?
Kevin Neveu: Yeah, I think as we think about our technology rollout over time, and I will just – I will comment on performance contracts at the moment. But our technology piece -- the base AlphaAutomation system running on the rig, which delivers consistent predictable results. We priced at $1,500 per day. And then for the apps that we're adding on for various drilling functions or tripping functions or even survey functions in the well or surface operations functions, the apps are being priced in the range of between $250 and $1,000 per day when those apps are running. And it sort of depends on whether or not it's just a hosting fee for a third-party app to get to the lower end of that scale or if it’s a Precision developed app like maybe your generator app it might be at the higher of that scale. But we see that anywhere from one to four apps could be activated any given time, and that's where we get the guidance towards somewhere between $250 and $1000 per day of additional revenue as we develop more apps. But I'll caution you just two or commercial right now. And we have a total of 13 more under development that should be commercial during the course of this year. And our partnerships on the apps include several operators, a couple of third-party service companies and a couple of universities. So we have a number of different constituents working on apps to improve drilling performance, but we think will have value for our customers. That's -- I'll stop there now and just come back on performance contracts for a moment. We've had a couple of operators particularly procurement teams looking to try to lever, kind of lower day rates, but incenting us for performance type metrics and performance type pay. It does need a little different allocation of risk. So we're looking at those very carefully and ensuring that we don't take on something, which just really pushes down the rate of the rig. And that gives us more risk.
Kurt Hallead: Okay. And then, I just noticed that your relative market share within the U.S. -- it's a little bit going into the or through the fourth quarter. Any particular cause of concern there?
Kevin Neveu: Yeah, I think, I don't get too worked up over real short-term trends. I was happy to see our market share rise up in 2019. I would say that we are remaining very disciplined on our pricing both for our rigs and for our ancillary services like automation. So, don't expect us to take use any tactics to kind of prop up market share. We will stay disciplined on the pricing for our super-rigs.
Operator: Thank you. Our next question comes from the line of Connor Lynagh with Morgan Stanley. Your line is open.
Connor Lynagh: Maybe just following on the back of the Chris' question there. I think you had called out Appalachian as a source of some of the weakness in the U.S. rig count near term here. Do you feel like you've kind of taken your lumps at this point? Or do you have any visibility that rig count is going to stabilize there? Just general thoughts around that market this year.
Kevin Neveu: Yeah, I think the short answer is yes. I think we've taken our lumps. I think we feel like we're pretty stable environment right now. I was actually expecting our rig count to be creeping up by now. But some of the jobs that we have lined up are just being pushed off with the commodity price right now. We mentioned Appalachian, and there was one other notable U.S. transaction that eventually resulted thus losing a few rigs.
Connor Lynagh: Got it. That's fair. Maybe just pivoting to Canada here. What would you attribute the year over strength to? Is it the exemptions in conventional volumes? What's driving that substantial year-over-year increase?
Kevin Neveu: Yeah, I discussed the regions, but didn't really say why. So I think, I talk first of all about Montney, Duvernay. I think the primary driver there is a strong natural gas liquids market where the pricing is remain firm. And that's because the natural gas liquids getting used as a diluent for heavy oil. And as the heavy oil projects, like oil sands projects get ramped up, the mining projects are increasing in scope right now. That demand for that diluent is remaining strong. That's, I think the primary driver of the Montney, Duvernay activity. That and a little bit of really work happening on the LNG project, which will come on stream in about three years time. And then, in heavy oil, and particularly stratifications drilling, we watched that business pretty much get turned off several years ago. And a lag of new SAGD wells, a lag of stratification work, a lag of heavy oil work that occurred in 20 – winter of 2017, winter of 2018, winter of 2019. And, listen, this is not a full rebound yet back to like 2015 levels, but, certainly is a little bit of a catch up going on right now in heavy oil. And I think, we were just well positioned with the right types of rigs. The ability to get those rigs fired up to have a leading market share in that area right now. And the indications to those customers are that the pace of Q1 won’t continue for the balance of the year, but we do expect heavy oil year-over-year to be stronger on a comparative basis. It's a complicated answer, but that's the answer.
Connor Lynagh: Yes. Appreciate it. Appreciate it. I'll sneak one more in here, which is, have you seen that improvement in some of the heavier oil drilling support pricing for the smaller rigs? Or is that still pretty challenged?
Kevin Neveu: We've got a rather unique position there in that. We've always been a large player in that space. I commented that our Super Single rigs are ultra-efficient. And we're able to get a -- what I call an acceptable day rate for those rates even with industry level activity levels being sold relatively light kind of long-term. But for the Super Singles rig, I'd say our pricing in heavy oil is that a raise right now that we're comfortable with.
Operator: Next question comes from the line of Waqar Syed, Autocat Capital. Your line is open.
Waqar Syed: Could you give us some numbers around how many of your rigs may be exposed to dry gas in Canada?
Kevin Neveu: I think that we probably have the lightest exposure. I've recalled in recent memory. Because that activity is already running pretty slow. It's generally Southern Alberta, Southern Saskatchewan area where it tends to be a lot of competition. It's just an area we really haven't focused on before. So I don't see us having a lot of exposure there. The edge is 2 or 3 rigs, which is kind of why I expect the base will make up about.
Waqar Syed: Okay. And so the fee ST-1500 rigs that you have down. I'm assuming those are in the Marcellus area. Is that correct?
Kevin Neveu: That's right. They are in the Marcellus right now. And we love to get those rigs back up and running given the right opportunity.
Waqar Syed: So would you consider relocating them to another basin? Or would you keep them in that basin?
Kevin Neveu: Well, Waqar, since they're contracted for the full year, they're really under the control of the operator. So it's actually the operator of those contracts who decide whether or not they pay for the move. Certainly, wouldn't be at our expense.
Waqar Syed: Okay. Fair enough. And what -- $3 million per quarter, is that the right number for revenues from those rigs?
Carey Ford: Waqar, that will be about right.
Operator: Our next question comes from the line of Taylor Zurcher with Tudor, Pickering. Your line is open.
Taylor Zurcher: Just a follow-up to the prior question on potentially relocating some rigs from basins like the Marcellus and others to stronger basins in the U.S. And that namely being the Permian from your competitors have talked about already doing that back by contracts. Is that something that you've already done over the past couple of months or something that you're considering doing moving forward, obviously, assuming that you get a contract to back stuff that movement?
Kevin Neveu: Taylor, we have moved rigs in the Permian, earlier in 2019. We've actually moved some rigs around the basins in Permian, Eagle Ford, Texas and Haynesville. We’ve got some interbasin movement. I’d comment that if anytime we move, rigs are going to be backed by a contract period. And the cost of that move will be baked in the economics of the contract or paid upfront by the operator.
Taylor Zurcher: Would it be fair to assume that the pricing assuming it's ST 1500 would be better in the Permian than it is in some of the neighboring regions where we've seen rig count decline over the past three to six months?
Kevin Neveu: As I said in my prepared comments, generally -- Marcellus aside for a moment, generally refunding pricing is pretty homogenous across the U.S. right now. And there is really more -- we have an ST-1500, which is kind of common with the U.S. 1500 rigs. We also have a little smaller ST-1200, which is actually quite common both in the DJ Basin and the Marcellus. It's a lighter, smaller, cheaper rig, but it offers almost the same vertical -- slightly shallower vertical but the same horizontal capability that’s necessary for both the Marcellus and the DJ Basin. And so we just see the differential rates between the 1500 and 1200. We don't see much differential between basins on 1500 horsepower rigs.
Taylor Zurcher: Okay, got it. Internationally, you talked about one rig in Kuwait that sounds like it at least go down temporarily here in the first half of the year, and then two more, which will be up for renewal at the end of the year. Any color on sort of the pricing dynamic for those three rigs relative to the current average revenue per day that you posted this quarter?
Kevin Neveu: We're not -- I don't think we're giving you any negative guidance on what we're expecting for international business right now. I commented, we've done a very, very good job in Kuwait with these high-performance rigs that were all -- essentially all new builds with highly trained Precision crews who are actually doing a good job. We're drilling deep, high pressure wells. I don't expect to have any meaningful day rate, degradation on renegotiations.
Operator: Our next question comes from the line of Sean Meakim with JP Morgan.
Sean Meakim: So just kind of summarizing a bit of some of your comments. In Canada, it sounds like you're pretty confident you can grow revenues year-on-year just with the typical caveats around commodities and customer decisions coming out of breakup for the back half. International sounds like it could be getting better as well. Well servicing sounds pretty flat. U.S. is more challenging just given the exit rate, even if the outlook is relatively stable from here from rig count perspective. So we put that all together, is the suggestion that your revenue could be closer to flattish year-on-year compared to '19 if the year plays out as you see it today?
Kevin Neveu: Yeah. So we would definitely -- I think your assumptions are pretty good, but we definitely would stop short on providing revenue guidance. The one comment I would add to your assessment of the U.S. market is that we have had a little bit of a customer churn, customer decision to lay down rigs, but these are the best rigs in the industry. These are all AC triples, and many of them have automation already installed. So we think the opportunity for us to add a number of rigs in a flat recount environment is pretty good.
Sean Meakim: Okay. Right. That's helpful. And then maybe just a follow-up on the Middle East discussion, as you get that fleet up and running and the counts look higher maybe than it has in recent quarters. Does that fixed cost absorption help you in terms of the margin profile for that segment?
Kevin Neveu: Yeah. I would assume that the margin profile that we had in Q4 continues on into 2020.
Carey Ford: But if we activate more rigs, there will be no further fixed cost or G&A additions. So it will be flow through the bottom line leverage in our sale. Correct.
Operator: Thank you. Our next question comes from the line of J.B. Lowe with Citi. Your line is open.
J.B. Lowe: Just a quick follow-up on the workover rig that's rolling off now. You said you had a good line of sight to place it back to work in the second half. Will that be with the same customer in the same area or will that be moving somewhere?
Kevin Neveu: I'm not going to comment in right now. We are involved in negotiations. And one rig, one customer, one country, it's hard for me to see too much publicly.
J.B. Lowe: Fair enough. Okay. Just a question on the mechanics of the commercial position of the AlphaAutomation. Is the way that you guys get paid for the automation system like -- is it whenever the rig is earning a day rate, you're earning rate for the automation part of it? Or are you getting paid separately for when that's running?
Carey Ford: So we're treating our pricing on automation and, for that matter, apps and automation as one of the la carte items we add to the rig, which is quite common. I know the day rate model is challenged by a lot of people that we don't capture all the value that we might give our operators. But what we do quite well is add capabilities to the rig. And we charge those as la carte item below the day rate for the rigs. So the rig can compete as a base rig, but if we added on, like in Canada, we’ll add boilers in the winter. We’ll charge for every day the boilers running. In the U.S. we might add a third shaker to the rig and we’ll charge for everyday the third shaker is running. In this case with automation we will charge every day the automation is running. So it won't run during big moves. We won't charge for that. But it will run the rest of the time.
J.B. Lowe: Okay, great. Thanks for clarification. Last one for me is with Canada getting a little bit tighter here both in the heavy oil side and the NGL side, with all the rigs that have moved out of the area, do you foresee guys actually drilling rigs back into Canada? Would contemplate that?
Carey Ford: I will make that answer really short, not a chance. I still think there's still a number of Canadian contractors looking to gain some U.S. exposure. But that's because I think they've got an asset mix, which doesn't really suit the Canadian market very well. In fact, some of the rigs have left the country which only doubles, which are no longer competing with us in the Montney and Duvernay because for these developments style drilling projects, pad-walking triple was simply the best answer.
Operator: Thank you. Our next question comes from the line of Ian Gillies with Stifel. Your line is open.
Ian Gillies: With respect to, I guess, the ERP implementation and how it's going to last a while. I'm just curious if there's much left you feel you can squeeze from that with respect to cost savings, and perhaps, tightening up working capital there help further improve the balance sheet?
Kevin Neveu: So, Ian, that's certainly a focus we're always looking for ways to manage the business with lower working capital and to squeeze costs out of the business. I think most of that has already been achieved. But where we think we can really show the performance of that system is in an increased activity environment. We think that we're actually shown it in Q1 so far this year. The only people that we've added in terms of headcount have been people in the field working on the rigs. And we've increased activity 45% from where we were last year. So I think it is the same thing in the U.S. international as we add rigs and activity increases, we should be able to see fixed costs relatively flat.
Ian Gillies: Okay. That’s helpful. With respect to your, I guess, biofuel rigs, are you seeing any increased demand from your customers given the appeared focus on ESG? And if so, is there much in the way of economic opportunity right now in and around those rigs that can offer that service?
Kevin Neveu: Yeah, again short answer, yes. We are seeing increased interest in biofuel rigs. I think the biofuel solutions are -- is a really good solution both for us and for the customer in that. It's a fairly modest upgrade to the rig, but does cut the carbon footprint dramatically for the rig and cut the costs for the rig. And I will make this comment, generally, most things our industry has done is only industry has been reduced to a content on the rigs, because fuels were the highest input costs in the drilling operation outside of labor. So in fact, have you just raced back over the last several years. I don't know that the industry is probably reduced its carbon footprint per meter drill, or any other industry that does anything on a regular basis.
Ian Gillies: And – are you seeing any – is there any intention, I guess to add any more kits this year? Or is that part of the upgrade CapEx at this point?
Kevin Neveu: I think likely we will add more kits this year. I think at this point, we think we have enough capital inside our current budget to do that. But – and I think we'll charge extra for those rigs so that have been kit on there because there's value both for the customer and for us, economic value for the investor we make, and, of course, fuel savings value for them. So we'll make sure that we get paid for the investments. But there has to be a pretty good alignment of infrastructure, you have to have gas available. The gas has to be fueled grid gas. And we've got a rig, for example, in the Permian Basin we have rigs, where the gas is being trucked in. And while it's not an economic solution, there is a good environmental solution. But I think the best economic solution is where there's still gas available, you can scrub it completed application.
Ian Gillies: Okay. And last one for me, but, I mean, wells are still being drilled, folks, I know, again Peter focusing on free cash flow. But as you go out in market some of the rigs that have been laid down or you're looking for new customers, are you noticing any changes in, I guess, rig expects that producers may be looking for at this point in time that may require capital?
Kevin Neveu: I know expect we have to do any meaningful upgrades the fleet to change. I'll give you my definition of super-spec or Precision’s definition of super-spec and that would be an AC digitally powered rig that had digital controls, so it's an AC rig. It's got a pad-walking system. So you can watch X and Y and all directions of the pad. It has three mud pumps and 7,500 PSI capacity. It’s got hoisting and rocking capacity to drill out 10,000 foot laterals. I think we have adequate number of regional fleet right now to service the demand that we expect unless there's some meaningful change in the commodity fundamentals upwards.
Operator: [Operator Instructions] Our next question comes from the line of Blake Gendron with Wolf Research. Your line is open.
Blake Gendron: I wanted to start in the U.S. here. We haven't really seen a flattish rig count, the expectation of the flattish rig count for the foreseeable future. I was wondering -- I'm just getting some of the pushback that we've gotten from investors on where day rates could go from here theoretically in a flat rate can environment even some of the supers-specs here maybe get a little bit more predatory on pricing. Where would you pushback, I guess, on that sentiment? And then, flipping of the cost side, you mentioned doing some things on the fuel side, but anything on the labor side or elsewhere in OpEx so you can kind of pull levers in terms of flattish rig environment, maybe getting a little bit more juice on the margin? Thanks.
Kevin Neveu: Yeah. So I think, first off, flattish overall industry rig count environment. I still think there's -- I think the numbers in the 200 to 300 range, number of rigs that would be hydrated. And that's rigs are operating right now replaced with better quality rigs that can drill quicker, safer, more efficiently. So I expect that the demand for super-spec ratio continue through the balance of the year as customers operating lower quality rigs, upgrade those to higher qualities – high quality rigs. And we know that even in case of one super major right now, just looking at reducing their contractor count dramatically, that's a high grading exercise. They were going to picking higher grade rates. So we think that's going to drive demand on super-spec rigs. But beyond that, there's no question that we are delivering measurable real value without AlphaAutomation. We think that further enhances our ability to differentiate the Precision rigs. So we think that will drive our market share independent of overall rig counts. So I do see a clear avenue and clear path to get additional revenue per rig with automation and additional market share with automation. So I think we have two clear growth vectors that are independent of rig count. But I think that it's logical to expect there to be high grading of lower-quality, lower-performing rigs in the industry right now. We've seen that over the last 18 months. We'll see it again for next 12 months.
Blake Gendron: Okay, that's helpful. And then just seeing your Alpha comments and turning to directional drilling -- integrated directional drilling is something that you've implemented for a while now, any sort of customer preference now that we're overlaying the digital side on sort of a bundle package and the importance, I guess, from the drilling perspective to have original drilling capabilities in-house? Are you seeing any major changes in the marketplace there?
Kevin Neveu: Well, we still have directional drilling capabilities in house in the U.S. and Canada. It’s something that we continue to focus on. However, the directional drilling industry is still quite challenged. And what we're finding is that the competitors have been highly pressured space continues to drive price down, which is attractive for the operators. And, I commented that there's a cost of switching drilling rigs. It's interesting, often, when operators change directional drilling contractors, there's no cost or could even be a cost benefit to them to switch. They can, sometimes get somebody to come in and replace the existing contractor mid hole and save money. So that he could view it as a negative cost to switch. And I think that dynamic is making the directional drilling business still rather bumpy. Ultimately, if we sit back and look in five years time, I think that the rig software will dictate directional drilling. But I guess, it is going to be a transition period. And I think we need to see the directional drilling business really kind of take it on the chin for a while before that's going to take rigs. And that's happening right now.
Blake Gendron: Got it. And then one more thing squeeze it in. You mentioned the debt reduction targets for this year, you upsize the four year reduction target to $700 million. You've been opportunistic about the buyback. If we do see upside to what we're modeling in terms of free cash flow for 2020, where would you suspect you deploy that to operations? Would you continue to buy-back shares? Or would you allocate any excess cash flow to debt paydown?
Kevin Neveu: Yeah. I think we look at all of those opportunities. It depends if there are good economic opportunities to deploy upgrade capital at good contracts. That would probably be our first preference after debt paydown. Then after that, we’d look at where our bonds are trading in the open market and where our shares are trading and see if it makes sense to deploy excess capital to one of those spaces. So I think we're in a pretty good position with having strong free cash flow. We have some options on how we can deploy that cash.
Operator: Thank you. At this time, I would now like to turn the call back over to Dustin for closing remarks.
Dustin Honing: Thank you for joining today's call. And look forward to speaking with you when we report our first quarter 2020 results.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect. Everyone have a wonderful day.